Operator: Good afternoon, and welcome to the QYOU Media Second Quarter 2022 Conference Call. As a reminder, this call is being recorded and all participants are in a listen-only mode. We will open the call for questions-and-answers following the presentation. On the call today are QYOU’s Co-Founder and CEO, Curt Marvis; Chairman and Co-Founder, Scott Paterson; and CFO, Kevin Williams. Company would like to remind everyone that various remarks about future expectations, plans and prospects constitute forward-looking statements for purposes of Safe Harbor provisions under the Private Securities Litigation Reform Act of 1995. QYOU cautions that these forward-looking statements are subject to risks and uncertainties that may cause their actual results to differ materially from those indicated, including risks described in the company's filings with the SEC. Any forward-looking statements made on this conference call speaks only as of today's date, Monday, August 29, 2022, and QYOU does not intend to update any of these forward-looking statements to reflect events or circumstances that occur after today. A replay of today's call will be available on QYOU's website at www. qyoumedia.com. With that, I'd like to turn the call over to QYOU Media's Co-Founder and CEO, Mr. Curt Marvis. Mr. Marvis, please go ahead.
Curt Marvis: Great. Well, thank you very much and welcome everyone, exciting times here at QYOU Media. Hopefully, many, if not all of you had a chance to see the results that we just published about a half hour ago. And so I want to welcome you all to this call. We're going to run through a lot of what's happened on a financial level, what's happening in the business and then take your questions and hopefully get everyone as excited and pumped up as we are right now about what's happening. So we release the results. As I mentioned shortly, half hour ago, and they're the results for the quarter that ended June 30, 2022, which marks the end of our Q2 2022 for the QYOU Media business. As some of you may be aware, we move to a calendar year reporting schedule at the beginning of this year. And Kevin Williams, who's on the call as well, and I will take you through some of the financial highlights from the news that came out today. And then I'll be sharing with you some of the commentary on the activities of what's happening with the business and what we feel has been not only driving our revenue growth and the growth of the company in terms of everything that we're doing in new products and growth on that level, but also why we're so anxious and expect this momentum to continue in a huge way on a go-forward basis because the tail -- we have tailwinds behind us right now that are very strong and we fully expect to take advantage of those as we move forward through the rest of this year and obviously, in 2023. As I said at the end of the call, we'll open it up for questions. So keep those -- hold those for the moment. And also Scott Patterson, who our Chairman, who many of you know, is on the call. Scott, Kevin and I are all in different locations today. So if you have a specific question targeting one of us please either put that in the chat or when you ask the question, let us know who you're addressing to. So with that, let's get on to the news. Today, we're reporting that as of Q2 2022, we're announcing the highest quarter of revenue in company’s history. The revenue was recorded for Q2 2022 at $6.88 million, which is a year-over-year quarterly increase of $4,268,464 or 163%. For the six months ending June 30, 2022, as compared to the same period last year, we recorded total revenue of $12,118,043, representing an overall revenue increase of $9,294,593 or 329%. On a quarter-over-quarter basis comparing Q2 2022 to Q1 2022, revenues increased $1,648,683 or 31%. Well, obviously, we're thrilled with these results. We all know that it's a tough market out there and has been for a while. We believe that the strength of what we've been developing and building since late 2020, so less than two years ago was going to begin to pay-off and continue to pay-off in terms of how the company was situated to grow. And we think that the results are indicative of that, really show that we're onto something now and on the right path. Part of the reason, we believe that so strongly is that year-over-year adjusted EBITDA also improved by $666,223 or 33%. And that's most encouraging from my point of view and from management's point of view because as most of you are aware, we've been making significant investments into content, new channel launches and other new business units that we're building to keep company growing at the level that we're all looking forward to achieve. And so to be able to have that happen in an environment where we've actually improved our EBITDA is obviously super exciting and rewarding for us as well. The other piece of the revenue story from our point of view is that it's company wide. Of the three business units that we sort of look at, two of them obviously making up India, which is what we call the channels business, whether it's broadcast channels, streaming channels, whatever it might be. And additionally, as many of you are aware of the Chtrbox Influencer Marketing business, both of those units have grown significantly over the last year and over the last quarter. And in addition to that, while I don't spend quite as much time talking about when we have these types of calls, the U.S. business is also growing extremely well. We've been involved really in sort of attached in a way, not sort of legally, but in terms of what we use for our campaigns, the TikTok platform. And as I'm sure everybody is aware, TikTok is an explosive growth platform right now. It's become really dominant in terms of especially the young audiences that we're targeting and that's had a tremendous positive impact on the U.S. business. So at the end of the day, we're firing on all cylinders. Every aspect of the business is growing, every aspect of the business is getting deeper, in terms of the advertisers that we have, in terms of the products that we have that sit alongside it, in terms of the personnel that are managing and running it. And so we really look at ourselves as hitting kind of a new stride at this point now that we've been putting numerous quarters together where the growth just keeps continuing and is expected to continue as we move forward. So I'll speak in a second about some of the things that we're doing in specific business areas that I'm talking about and sort of the feeling that we've got, how we can really grow it in both size and scale, largely based upon the massive young population that we're targeting and achieving viewership from -- in India. And why we believe what we're doing from an fusion point of view puts us in such a strong position to be able to continue that growth. And as I mentioned, there's also the U.S. business and what's been happening there and how strongly that's been going. But before I get into that, I know we have a couple of other financial things that I'd like get through because I feel there's a couple of financial highlights that Kevin and I were speaking about that I'd like him to bring your attention to. So Kevin, over to you.
Operator: I apologize. You've seen that if we have, oh, Kevin is here and he joins. Kevin, you're now off mute.
Kevin Williams: Okay. All right. Thanks. Thanks, Curt. Before Curt speaks a little bit more about the business, I wanted to pass along just a few other financial details that we -- that I think you should be interested in around the company's financial position. So the company concluded the three months ended June 30, 2022 with a cash balance of just short of $4.2 million in comparison to -- around just a little over $5 million in the end of March. The improvement in EBITDA that Curt spoke off is really showing up in the improvement in the cash that we're using it for day-- day operations. And so the cash used in operating activities for the three months ended June 30, was $810,957 compared to the same period last year of $2.235 million and so a considerable decrease in the cash used based on the improved EBITDA and as well collection of trade receivables. So similar to the quarter performance year-to-date, so for the six months, it's a similar story. And so for the first-six months of the year, we've used $2.155 million for operating activities compared to $4.333 last year. So really good improvement from that perspective. Also a customer concentration risk, we've really improved year-on-year. In the quarter that just finished, the company only had one customer that at over 10% of the company's revenue versus last year at the same time where there were three, but perhaps more importantly, the top three customers only represented 27% of the company's revenue versus 50% a year ago. This broadening of our revenue base is a testament to the number of new advertising partners that we have brought on onboard over the course of first half of the year. So great progress there and reducing our customer concentration risk. We also think it's important to note that all of the new channels and other recently announced new business units and activities have not had any material contribution to the Q2 revenue numbers and those will still be relatively small for the current quarter, we're in Q3. Their impact will really begin to show up and ramp beginning in Q4 2022 and moving forward into 2023. At the same time, the cost of launching those channels and business initiatives are very much accounted for -- from an initial cost and launch perspective, which also sets us up well in the future for improved positive financial impacts as we're not parking those costs on the balance sheet and they will show up as we launch into future revenue. So nothing else from my perspective back over you, Curt.
Curt Marvis: Okay. Am I back on here? I guess I am.
Operator: Yes. You are.
Curt Marvis: Okay, great. Terrific. Thanks, Kevin. Yeah. I want to underscore what Kevin was just saying, which is we've -- there's a lot of discussion in the public markets these days about controlling costs, improving EBITDA and profitability, et cetera. We're in a pretty interesting position right now where we are positioned for growth as a company. But we're doing it on what I would like to believe is a very smart and tactical way. And we're proud of the fact that we've been able to improve our EBITDA and cash consumption the way we have over the last year, during the time when we've gone from one Hindi channel which is what's been driving the lion's share of the revenue in our India business to a much broader base business that once we launch GameX in September will consist of five different channels, two broadcasts and three digital. So we dramatically increased the ability of the company to have new revenue streams and a lot of these are designed not to be revenue streams that they're going to deliver in the first month or first quarter or first year even in some cases, but it will be extremely important to us as the business continues to grow. And so given what Kevin was pointing out and what we're talking about in terms of cash consumption, et cetera., we feel we're in a really strong situation and position I guess I should say in terms of what we've been able to accomplish with the different things that we've launched over the last six to nine months and still be able to maintain a disciplined cost control point of view in the process. So to that end, let me just talk for a minute or two about some of what we have launched and some of the initiatives that we've launched over the past several months. Q Studios, which is here in the U.S. will probably actually also have a Q India Studios at some point, but not as of yet officially. The Q Studios was set up by the U.S. Group to create -- to answer demand for much higher quality production and capabilities for what was being done for these various brands and advertising that we're doing on platforms like TikTok and Instagram and Snapchat. The thing that's really evolved over the course of the last year or two, really started when COVID first hit and you saw people turning and staying home and spending more time on platforms like TikTok and Instagram, as that they become extremely important platforms for brands to advertise on. And when we started this business six, seven years ago, these were experimental platforms for people to try to do things and for people to begin to really experiment and see if they could get particularly to a young audience on. That's changed completely over the course of the last year or two and it's continuing to evolve and will continue to evolve. And so where you think of maybe television being a platform where we're all used to Super Bowl ads and these very, very high value ads that are created to get the mass audiences at once that's exactly what these social video platforms are being used for now. So when our QYOU USA business is doing as an example a campaign for Top Gun, a movie that ends up grossing well over $1 billion and becoming one of the highest grossing films in the history of cinema. The demands of their paramount and their -- Tom Cruise and the production company of the concept that needs to be done to support a Top Gun campaign is much bigger than what you might have seen in sort of old UGC type video that might have happened three, four, five, six years ago. And so as we've seen that business transition, we've seen a real opportunity for our business. We have a very, very strong group of people here in Los Angeles from a production point of view. And Q Studios is designed to take advantage of all that to make sure that we can provide the highest quality content and the most sort of disciplined content, if you will, around the brand messaging that still has the feel and the social openness that you see on platforms like TikTok, Instagram and Snap. So Q Studios started to support that. We've already done several campaigns that have used that sort of mentality. We did one recently for the automotive company Hyundai, which was one of our first -- was our first automotive campaign. They've already come back to run a second campaign with us that we're in the middle of right now. And we see a big opportunity for the company, especially with our relationships with major film studios, with major streaming companies like Netflix, and Hulu and Paramount Plus et cetera. Our relationship with large gaming companies like Capcom and Activision And then as I mentioned, we've gotten into the automotive vertical. So we see a huge opportunity here in the U.S. business for what we're doing and Q Studio as we started to support that. And again, I'll underscore, I said a minute ago that we've done this without breaking the bank in terms of what we're doing to get these things spun up for more revenue and more growth of the business going forward. Second one, I wanted to talk about was Q GameX. Some of you, I'm sure many people that are on the call are aware of how big the gaming business is obviously. The game business is huge in India. It's probably going to become, if not equal to the size of China close to it. It's right now the second largest mobile gaming market in the world and expect 450 million online gamers in India by the end of 2023. So we saw a really big opportunity with our young audience and the young in the audience that we go after as that young population is becoming -- has more disposable income to spend and as the gaming business continues to rocket in terms of its growth in India. We saw a real opportunity to launch a channel that was targeting that. Many of you on the call will be familiar Twitch and obviously that's become a massive property for this. But we decided to launch Q GameX because we're making a big push into what's known as the connected TV or smart TV market. And one of the interesting things about connected TV and smart TV, and I'll talk a little bit more about that in a second, is that it's interactive. It's a two way median. So unlike the passive television that we've known. For decades, the connected TV has something where you can order things off of it, where you can interact with it, where you can have a different relationship with it. In addition to that, we know that the connected TV is a major platform that's become more and more popular for young audiences and the same thing is happening in India. So we launched Q GameX, which will stream gameplay matches, we’ve battles on it. We'll get into console and gaming, reviews, unboxing, and new things, tips, and tricks, and all the things that gamers are into. We're going to target that visually savvy young adult audience of 18 to 35 year old Indians. And we believe it's going to be a big opportunity for us on the connected and smart TV market in India to monetize that by bringing brands and advertisers into that that are seeking that audience. So again, I'll talk a second here more about the connected TV world, but we have high hopes for Q GameX and again falls into that same bucket where we launch what we believe can be a major part of our business as we move forward once it goes live here in mid-September and that will mark the fifth channel that we will be running 24/7 channel, three streaming and two broadcast in the India market. The other announcement what we made recently that hopefully a lot of people saw was the announcement of ChtrSocial. ChtrSocial is very similar in many ways to what we're doing with the Q Studios business here in the U.S. but with a little bit different spin on it. ChtrSocial is really holding the hands of brands in India that want to build campaigns online where basically the brand starts on Instagram page or they don't have TikTok in India, but on the TikTok platforms like Chingari or Josh that are the same as what we know as TikTok. These platforms, every brand is on the planet now is hitting these platforms to try to create some attraction and personality, if you will, with the brand. So someone is launching a new sneakers, somebody is launching a new soft drink, somebody is launching a new makeup brand, whatever it might be, there's been a big push that we've seen a lot of momentum happen with both here in the U.S. and in India for these brands to start to want to create their own personality online. ChtrSocial is what's called an Acqui-Hires, which means there was another company called BlazOnion that we actually brought that entire company and the founder of that company into Chtrbox, effectively sort of taking over their business. And we're rolling that company into the Chtrbox business so that we can begin to exploit the synergies between not only the brands they've already been doing the business with, but the major brands like HP, like Pinterest and others that the Chtrbox is already engaged with. And so the ChtrSocial business is really part of our push and part of everything that we do that's the DNA of our business of connecting the ability to take advertisers and brands in front of young audiences and find effective and valuable ways for them to be able to reach -- reach on audiences, which kind of leads into the last thing that I wanted to mention in terms of the specific business agenda which is Q Data. Q Data, which we announced last week that we're doing in conjunction with a company called StarLifter, StarLifter is a company that some of you may be aware of -- you might know a very, very large company called ServiceNow. ServiceNow was founded by a gentleman by the name of Fred Luddy, who's a Silicon Valley icon and StarLifter is one of the new startup companies that he's begun because he's got kind of a guy. And he turns ServiceNow into, I think it's got about a $90 billion market cap today and is used by companies all over the world. StarLifter’s, his venture, which believe it or not, is a multi-billionaire, but he's writing some of the key code for his project himself is a project to make data useful. It's really what it boils down to. We want him to be a program or a data scientist to be able to figure out how to use it. And we've been -- we realized and Jace Sparks is leading the charge for us in this regard and who we recently launched as Chief Product Officer for the company. We've been looking at the massive amount -- I'm talking about thousands and thousands of lines of data that were hundreds of thousands of lines of data that we collect from all the different sources where we're doing business on a daily basis. BARC, which is the system that collects all of the data for our GRP and television viewing data delivers massive amounts of information and data to us every week. We get the same thing from the connected TV and smart TV world in terms of the data that we get about viewership there. We also have a massive amount of data that comes from the Influencer Marketing campaigns themselves that we're running both in India and the U.S. And finally, we're on a number of apps like Snap and others where we receive massive amounts of data of usage. And the truth is, and while it might seem like, well, why won't we do something sooner about this? We've been clearly busy with a lot of things, We realize that this data is a key part of our future. I mean, there's a kind of trueism or idea that's been out for a while that data in the 21st century is like what oil was in the 18th century. And there are a lot of companies obviously that have achieved massive value through the use of their data. And we all know, of course, that the largest companies in the world, Microsoft, Google, Oracle, et cetera., are all based on the value of the data that they're processing, collating and using. Well, we expect to do the same thing going forward. Some of you may be aware that Netflix really started their business of original content as a data decision. There's a very, very, famous story about how they view that Kevin Spacey was very popular, and Dave Pincher movies were popular, and data that they could put Pincher and Spacey together and the dramas that were in Washington, D.C. and the West Wing, et cetera. And this is exactly what their audience at Netflix is looking for and they announced that they were going to spend $100 million making a show called House of Cards. And most people at the time thought Netflix was crazy. Well, that was literally their first major foray into the business of creating original content, which took Netflix from back then to whatever their market cap maybe then -- maybe in double-digits millions or tens of millions turned into a company that is worth hundreds and hundreds of millions of dollars. We're looking to do the same thing and we think we have the same opportunity going forward over the next three, five, seven, ten years to be able to do some significant data mining that can be extremely valuable in terms of our ability to monetize it, not just in terms of what we can deliver for advertisers and the increase that can occur in the value of the advertising we're doing for them, but also in terms of the programming that we're doing and what our people want to watch and why they want to watch it and what's important for them. So data is going to start be a very, very important part of our day to day business. Jace has a team and some people in India right now. We're getting started on this right now. We've created the relationship with StarLifter. We think StarLifter is on to sort of some next generation breakthrough things that they're doing on the data side. So we're super excited about this opportunity and we believe it's going to be a big contributor to the success of our business as we continue to grow and move forward. So kind of summarizing those four business units specifically, we're building a lot of potential. I mean, I know a lot of you followed the company for a long time, saw a twist and turn, finally gained traction with one Hindi channel, but we're far beyond that today. Between what's happening with QYOU USA, what's happening with Chtrbox and ChtrSocial and chatter represent and Bolly2Box (ph). What's happening with our channel business, with the Hindi channel, the Marathi channel, our all animation channel, Kahaniyan, our all comedy fans, the channel Comedistaan, our upcoming gaming channel, GameX. We're starting to build a real set of assets in India and here in the U.S. that can drive real value for shareholders. The audience growth has been spectacular as well as we've gone along on this journey. We've been speaking 16 or 18 months ago. We were thrilled to tell you that we were starting to reach as many as 3 million to 5 million people on a weekly basis for a couple of minutes or more. We're now reaching 125 million people on a weekly basis with under content that's branded under the Q Brand across all television homes, app based homes and digital homes. Our goal that we're gunning for, we're trying to get to is to get that number up to 200 million by the end of this year. We think a lot of what we're doing in the connected TV space and a lot of what we're doing in the launching these new channels and getting more active in the digital and app based space is going to help us achieve that. Many of you may not even be aware of it for different channels that we run on Snapchat as an example today under Q branded channels there have over 1 million or 1.5 million subscribers who watch tons of content on the Snap app. On Chingari, the Chingari app, they have a television area that you can go to, which again, Chingari is sort of a version of TikTok. They have about 35 million monthly average users. And I think they've received over 110 million downloads of the Chingari app in India or if you go to the television area of the Chingari app, you'll see the Q Hindi channel, the Q Kahaniyan animation channel and the Q Comedistaan channel and so you'll see Marathi and GameX as well. So we really think that we've got a lot of momentum that's happening in the business. I do want to take a second before we open it up for questions to address the connected TV space. And you will be seeing a lot more discussion from us of what's happening with smart TVs. And for those of you that live in North America, you're undoubtedly familiar with either Roku or Tubi or Pluto or all of the above and the massive shift that's happened now for young people especially, but for people of all ages to abandon their cable and satellite hookups, and moved to a broadband only or connected or smart TV. In India, last year, 84% of all TVs that were sold were smart TVs. And they're now in a situation where for probably about $125 you can buy a really nice smart TV in India. Well, we've received -- we've created established relationships for distribution now with 70 different connected OEMs in India, which includes everybody from Samsung and Xiaomi through TCL and many more that you wouldn't know their names that are OEM brands. And this whole business, which is becoming known as the Fast business, which stands for free-ad supported television is the acronym people are using is essentially the business of what many of you are familiar with because I'm sure you have connected TVs that you're looking at all the different Roku channels and Pluto channels and Tubi channels and other channels that are there. What we're trying to do with Q in the very early part of this evolution and revolution a television viewing in India is create a whole sort of block of channels that can be pushed onto those platforms. Some of you who may be old enough to remember the early days. Unfortunately, I'm old enough to remember the early days of cable and satellite television when a company called Viacom. launched a channel called MTV and VH1 and Nickelodeon and Nick at Nite and Country Music Television and BET and CBS Sports Network. And Viacom created this massive arsenal of channels that were all set up to target the explosive growth that was occurring at that time in the cable and satellite industry. We're following exactly that model in terms of what we're doing in India right now with our channels that we're launching onto these platforms. So really keep your eye on that and watch that. If any of you followed Viacom is now called Paramount on a corporate level. You see a presentation from Paramount, trust me, one of the pillars of that company that they talk about is Pluto TV, which is their connected TV platform. If you look at a presentation from Fox over the entire Fox Media Corporation, Tubi TV that they purchased as a major part of what you'll see the Murdoch's talking about. So keep your eye on that. That's a really important part of our business. The other thing that I wanted to say is that we're building what we refer to in the company as our loudspeaker. Internally, when we talk about the business, our loudspeaker is our ability right now to reach these 125 million people a week in India, which by the way doesn't count our capability that we build for other people's brands here in the United States to reach often hundreds of millions of people in a campaign, sometimes even more than that, sometimes billions of people on a campaign across TikTok and Instagram that the QYOU USA business is building. That combined ability to reach audiences are so-called loud speaker, is where we see massive growth potential for this business. So when we look at the company and sometimes people say, okay, where you don't even have $100 million market cap today, how can you say that this company is going to be worth billions of dollars? That's why we say that. What we're trying to do is create a multifaceted media company that has a loud speaker and a foghorn or a bullhorn, if you will, that has the opportunity and capability to reach mass and scale levels of young people. We believe that will be extraordinarily valuable for our business going forward. We're building the advertising infrastructure to take advantage of that. We're going to build the data assets and capabilities to drive that from intelligent and informational basis and we think the sky is the limit in terms of what the combination of all of that can be going forward. So you'll see more announcements from us coming from new products and other things that we'll be launching to help take advantage of that loud speaker as we move forward. And you guys who followed us for a while have heard me often say many times that the best is yet to come and we're just getting started. But honestly, God truth is that's the way we all feel every morning when we get out of bed in terms of what we're doing here. So we haven't been sitting back resting on the beach over the summer months. We've been working our butts off here at QYOU Media. Everybody here has pumped about the progress we made and what we're reporting today for Q2. We're going to keep marching on to that same drumbeat and we really appreciate and thank all of you for your support and interest in what we're doing. So with that, let's open it up for questions.
Operator: Thank you. At this time, we'll be conducting a question-and-answer session over the phone. [Operator Instructions] And it looks like our first question over the phone comes from the line of William Birney with Revere Securities. Please proceed with your question.
William Birney: Great. Thank you very much. Curt, congratulations to you and your team for your record setting revenue and EBITDA growth that's impressive year-over-year, kudos to you and your team.
Curt Marvis: Thanks. Thanks, Bill.
William Birney: Great, great. My questions are two-fold. Can you talk about your strategy for inorganic versus organic growth. I know you mentioned in your press release, you've only hit 125 million people and you have approximately 650 million people in India, 25 in younger. So I want to see how you think organic versus inorganic growth. And my second question, I'll hold-off and then maybe give you an opportunity to answer the first one.
Curt Marvis: Okay. So for the first one, Scott Paterson and I both have long histories with Lionsgate. I've spoken about this numerous times in the past, but Scott wrote the second cheque that started Lionsgate as company back in 1997, they started as a listed company on a shell -- reversing into a shell in a company called Behringer gold back (ph) in 1997. I became involved with Lionsgate back in 1999. And people have heard me say that no one at that time except for maybe Scott and the other person who wrote the cheque and the management believe that Lionsgate could turn into a multi, multi-billion dollar asset that it is today back when it was trading at a $1.50 or $2 and probably had a $100 million market cap. Well, they built that company and they had great management, some of the best management in the world. And they built that company through a combination of organic growth and extremely accretive M&A activity. And so our, Scott and I were sort of schooled under that regime, if you will, and we're inside of it and part of it for a long time. And what they did is they took their businesses and television and home entertainment and movie business, et cetera. And they work their way to continue growing the assets around those different things. Well, you can look at what we're doing in terms of what I would refer to as the organic growth of what we're doing around new parts of Chtrbox, new parts of the Q India channels business, new parts of the QYOU USA business to execute doing exactly the same thing and exactly the same way. Keep growing it organically, keep hiring the right people, keep moving it up, keep offering more capabilities. And you're -- I'm not going to hit a home run every single time you do something, but inevitably, if you keep pushing, you're going to get some big, big hits that are going to happen along the way. And that's exactly what we're doing with respect to sort of the three different areas of business today. With that said, we're also going to be aggressive in terms of looking at M&A opportunities that can take us into new audiences. There's a couple of things that I can't talk to in any specific way currently, but we have ongoing discussions as we speak with a couple of companies that do what we always said we did with Chtrbox, which is we always refer to Chtrbox as not one plus one equals three, but one plus one equals to eleven. And so we look at other companies in that way. That's what we saw Lionsgate do over the years when they merged with companies like Summit and with -- I just had a space out of the name of the company before that Artisan, before that. And we're looking to do exactly the same thing. So it's really a combination of both those things and we think that we have different areas that we can go into in the India business to achieve that.
William Birney: Excellent, Curt. Thank you very much for that. And my second question has to do with Gross Rating Points, GRP. If I'm not mistaken, it's similar to the [indiscernible] ratings in the United States. How important is that to garner more advertising dollars and the progress that you've made recently with your GRP?
Curt Marvis: Yes. GRP is super important. GRP is directly related to revenue. And our GRP, which we frankly were hoping was going to be in 40 solidly at this point is leveled off into the mid to low 30s. We are slightly disappointed in that, a little bit of that is seasonal. But what we've also been able to do around GRP is maximize the value of each gross rating point. So those are not GRP stands for gross rating point. And so the way it works in India specifically is when you get one gross rating point, you sort of assign a level of revenue that goes against that in terms of your conversion of that rating point into actual revenue. Well, last year almost exactly a year ago, we hired Simran Hoon as our CEO of Q India and Simran is a 15 plus year veteran doing all ad-sales for what was then Viacom or now would be Paramount India and comes from the world of ad-sales. And she's hired a lot of people that she worked with in the past, and we are now having extraordinarily strong results in terms of our conversion of GRP to revenue. Now we're also looking obviously to want to increase and garner another five or ten GRP along the way, which will boost our revenue even further but the conversion of what we're getting for that is extremely important and we're after a year now we're really pleased with how that's going. So the GRP number is extremely important and it's true for any of the broadcast channels. GRP by the way is not a measurement that's used for any of what we're doing on the digital or app based or connected TV side of the equation.
William Birney: Thank you very much Curt and congratulations again to you and your team.
Curt Marvis: Yes. Thanks, Bill.
Operator: Thank you. [Operator Instructions] And it looks like we have reached the end of the Q&A for the phone.
Curt Marvis: I stumped all of you guys and all of you people out there. Anymore questions?
Operator: It doesn't look like.
Unidentified Company Representative: We do have some questions from the webcast. So I'll read off a couple of those. And I do want to let our webcast audience know that there are quite a few of you on there and we may not get to all of the answer -- all the questions. So if we don't reach get to that here in the call, we will reach out to you in the coming days and move some follow-up after the call. But with that, one of the first questions was, can you talk about the revenue, how the revenue is divided between QYOU U.S. Q India and Chtrbox?
Curt Marvis: Yeah. It's roughly about 30% to 35%, I'll call it a third. A third of our revenue is coming from the U.S. business. The U.S. business has been growing extremely well and obviously as people are also aware. We report in Canadian dollars and the U.S. dollar is extremely strong right now. So we do get a little bit of a boost from that as well. But roughly a third of our revenue comes from the U.S. business and we're projecting that to continue at about that rate on a go forward basis. Chtrbox and the channels business, now that we're a year into the Chtrbox acquisition are getting managed together increasingly in terms of the ad revenues and the campaigns that we're doing that are 360 campaigns, et cetera., across the two. They still do have separate businesses obviously that exist there, but we've increasingly been pushing to report those two together. So the channels business is still a larger revenue generator than Chtrbox is. I don't know if I could give you an exact percentage off the top of my head potentially because there are a lot of things that are combined. But the combination of the two businesses represents the other two-thirds of our revenue.
Unidentified Company Representative: Thank you, Curt. And next question, what type of items will be sold on the GameX channel?
Curt Marvis: I am -- of interest to gamers. I don't know that we're in a position right now to really answer specifically that in a very, very specific way. I think certainly we believe that marketing products and software and games and other things that obviously are targeting, the gamer audience will be an extremely important part of that, but also the young gaming audience is one that is also part of a lot of different sort of cultural phenomenon, whether it's through music fashion, and other things. So I think if you went on to Twitch and looked at the advertisers that are on Twitch and translated those into NDA (ph), you probably had a pretty good idea of who we're going to be going after.
Unidentified Company Representative: Thank you, Curt. And we've had several questions regarding when the company expects to become profitable and also when you expect a positive cash flow?
Curt Marvis: Currently, we're targeting approximately one year from now to be in a cash flow positive in profitable position. We -- the reason for that is that we want to continue to invest, but invest smartly into the business. We're big believers that on a management and board level, senior management board level that we're in an incredibly important and exciting position right now as a company. It's why people some people on this call are probably aware [indiscernible] sorry about that. Why a lot of people on this call are aware that we've been working and positioning ourselves for the potential of an up list on NASDAQ in the U.S. it's why we've begun to be more aggressive in terms of our Investor Relations profile because we think we're really positioned for significant growth to continue on a go forward basis. And we also believe the two macro environments that we're in, one being India and the young population there. And obviously, the second being the area of social video, digital video, et cetera. That -- these are both huge growth areas going forward and that we're positioned to take advantage of that. So we think it would be a mistake to sort of get overly cautious, I guess, would be the word I would use to hunker down too much and not be in the business right now of launching more of these connected TV channels and some more of these things like Chatter, Social and Q Studios when we believe we're in an important growth situation to be able to take advantage of those. And at the same time, we're also not going crazy. As I mentioned during the call earlier, we're trying to do this as smart and tactically as we possibly can. So we're not writing big ridiculous checks for things that aren't going to have a clear window of paying off and six, nine, 12, 18 month timeframe, but we do believe that we need to invest in the business right now to grow it. So that's why we're a year out at this point because of the investments going into growth from being a profitable business.
Unidentified Company Representative: Thanks, Curt. And another question, it doesn't look like any revenue is being run through the Ireland broadcast license anymore. Is there any value in that license? And is that an asset that could be sold? And if so, what do you think it would be worth?
Curt Marvis: No. There's really, I mean, there's potentially some tax loss value there and other things of that nature, but not any real operating business value. The Irish entity was set up a long time ago. It was part of when we were running channels all over the world and unsuccessfully at that and that's when we pivoted, made a big change and decided to go with the focus on India that we have today. Obviously, that's paying off for us now. Anybody who has followed the company for any length of time those that are -- we're literally -- we had a great year last year and six months into this year were less than $1 million shy of our total revenue number for 2021. So businesses is improving dramatically and the India business is really dormant at this point and ultimately will be shut down. It was there for other purposes that are no longer relevant.
Unidentified Company Representative: Thank you, Curt. And the next question is, do you foresee needing to raise any capital in the near term?
Curt Marvis: The primary reason we would raise capital would be to put ourselves in a position for certain M&A transactions that we might not be in a position to do otherwise. Again, that decision has not been made as of yet either, but there are discussions that -- we're always on the lookout. We're always looking for things. And obviously, because of what's happened in the sort of public equity markets and public markets financially on a general basis. There are some extremely attractive opportunities that are beginning to surface for companies that might be in a little bit of trouble or that might not be able to attract what they need to be able to grow their business the way they want to. So we're constantly on the lookout for that. As I mentioned a few minutes ago, it's part of the Lionsgate strategy, it's part of our strategy. So fund raise that we would do would be largely, less a little bit about some of the organic growth, but more about some of these M&A transactions if and when we decide we're going to make a move in that direction.
Unidentified Company Representative: Thanks, Curt. And another question we had is can you talk about the timeline for your plans to up list?
Curt Marvis: What I can say is that we've pretty much done everything that we need to do to make that happen. And so the last couple of two or three months has been focused on making sure we were ready. We're still having some debate internally about timing of that. We think there's a lot of opportunity and there's a tremendous amount of interest from the U.S. side that we've had in us doing this. So the timeline is could be anything from imminent through a bit longer than that. I will say that I expect that that's something that we are going to do. And obviously management, myself and everybody else, we're all large shareholders and believe in the growth of the company's appreciation of its stock value. So we're making sure we cross every T, not every high and make sure that we're doing it in a way and with the right people behind it to make it happen the way we need it to happen.
Unidentified Company Representative: Very good. Thank you, Curt. And that was it for what we have on some of the questions here. I would pass it back over to you for any final comments?
Curt Marvis: Yeah. I think the final comment is what I said at the end of just sort of the presentation a minute ago, which is that so much about -- one of the hardest things to create in any business is momentum and we feel that we've got a lot of momentum right now. We also feel that we've got a lot of what drives businesses as we all know is timing and we feel like we're in the right place at the right time. We feel like we're in India at the right time. We feel like we're in an area where we're accelerating our capabilities around bringing brands and their ad dollars against social stars and digital content stars that the time is right for that. We think that the trajectory of that important is going to continue to grow and grow and grow. And so we feel like we're really in a position where the sky is the limit in terms of what we can accomplish as a business. And we've got a great group of people both in India and here in the U.S. that are driving us forward every is committed to it, everybody sees the opportunity. And so, we just -- we are just excited every day about where we're headed. With all that said, the final thing I would say is that we're -- we don't look about this necessarily what's happening next Friday or next week or next month. We have a much longer view of where the opportunity is for this business. We really do believe we have the opportunity to create a business that's worth multiple billions of dollars, but that will take time, that's not going to happen between now and Q4. But what we're doing is we're laying the foundation for all of that. We're rolling out products and services, whether it's Q Data or Q Studios or ChtrSocial or Q GameX or anything else you'll see us announce going forward. We're creating a broad based port portfolio of products that are all grounded around this area of digital stars, social creators, influencers, et cetera. And that are really fundamentally grounded both in the opportunity in India, which is massive. If you can get it right in India, it has an ability to scale almost unlike any other country in the world with a possible exception of China. And we all know how many big companies have sprouted out of there in the last couple of decades and we see that same opportunity for us. And we also strongly believe in the U.S. business and we see the power of TikTok and Instagram and social platforms here, there's a new [indiscernible]. Sure, we'll probably be doing stuff on that soon. And so that's not going to go away. It's going to keep growing and we think overall as a company we're extremely well poised and positioned to take advantage of that. So I've always been very grateful for the support of our investors and our followers to date, especially those who have stuck through us through thick and thin for a long, long time. And we think that as I said at the end of the presentation earlier that this is just the beginning. So thank you all for your time. And look forward to having more calls like this going forward.
Operator: And this concludes today's conference and you may disconnect your lines at this time. Thank you for your participation.
Unidentified Company Representative: Thank you.
Curt Marvis: Thanks, everyone. Appreciate it. Bye-bye.